Operator: Good day, and welcome to the Jack Henry & Associates' Fourth Quarter Fiscal Year 2007 Earnings Conference Call. This call is being recorded. At this I would like to turn the call over to the Chief Financial Officer, Mr. Kevin Williams. Please go ahead, sir.
Kevin D. Williams - Chief Financial Officer and Treasurer: Thank you, Roushelle. Good morning and welcome to the Jack & Associates fourth quarter and fiscal year end 2007 earnings call. Statements or responses to questions that we made in this conversation would be forward-looking or view of the expectations of the future. Like any statement about the future, these are subject to a number of factors which could cause actual results to differ materially from those which we anticipate. Such factors are disclosed in our recent SEC filings. There could also be other factors not included that can potentially cause results to differ materially. Again, good morning, we are please to host this call this morning to provide our company update and report our record financial results for our fourth fiscal quarter and fiscal year ended June 30, 2007. With that I will now turn the call over to Jack Prim, our CEO.
John F. Prim - Chief Executive Officer: Thanks Jeff. We are very pleased to announce another strong quarter and year-to-date performance. Strong quarterly performances by both the Bank and Credit Union segments, particularly in support and services revenue, allowed us to again report record revenue and record net income for the quarter and year-to-date. The revenue increased 12% for the quarter to a $181 million and $668 million for the year, a 13% year-over-year increase. The increases were primarily organic in nature at 11% for the quarter and 12% for the year-to-date. We continue to reduce our dependence on the license fees as a percentage of total revenue, ending the year with 11% of total revenue compared with 14% in previous year. Nonetheless, this was still the second highest quarter for license fee sales in company history. Support and services revenue increased 17% for the quarter and 18% for the year. The backlog increased 8% on both a year-over-year and a sequential basis and recurring revenue increased to 66% of total revenue for the year. While the quarter was strong in both the Bank and Credit Union segments, we were particularly pleased to announce the signing of another $1 billion plus Credit Union on the Symitar/Episys system. The $1.3 billion technology Credit Union in San Jose became the 500th client to license the Episys system following an extensive review of competitive systems in the market. As announced previously, we are on three of the five Annual Technology Best Practice Awards given out by CUNA at their Annual Technology Center. Tech CU has selected Episys as the platform on which to base their aggressive future growth plans. In addition, after the close of the June quarter, we followed this significant win by signing the rapidly growing $1.2 billion Western Credit Union to implement Episys. We continue to lead the industry with more Credit Union with over $1 billion in assets and with more Credit Union of all asset sizes installed on the Episys system than any other competitive platform. We continue to see excellent customer acceptance of our recently announced products, our Yellow Hammer, Bank Secrecy Act product has now been ordered by 91 institutions, even though the product is only announced for general availability in May of this year. In addition, 37 institutions have ordered our Opening Act product, the online deposit and loan account openings and since announced general availability last quarter as well. In nearly 100 banks and 1,900 additional merchants went live with our enterprise segment's Remote Deposit Capture solution during the quarter. This fall we will release a solution for mobile banking and bill payment for our customers. While the regular consumer adoption for this product is hard to predict at this time, our customers will have available one of the most comprehensive offerings in the industry and much more affordable prices than competitive alternatives. Our ProfitStars group successfully integrated the US Banking Alliance acquisition last year and USBA area solution for net interest margin improvement continues to be well received by financial institutions both inside and outside the Jack Henry customer base. We kick of this fiscal year with the announcement of a key acquisition in Gladiator Technology, a company focused on providing intrusion monitoring and prevention security solutions exclusively to financial institutions. As a long time business partner JHA we shared a number of mutual clients and we will now be able to offer a much needed core system independent security solution to all financial institutions. Security continues to be a top of mind concern for JHA and our client and we intend to use Gladiator as the foundation for expanded security offerings for financial institutions. Before I turn it over to Tony for additional comments on the business, I would like to thank our 3,700 plus employees for their hard work and dedication during the year which allowed us to again post record revenue and net income, industry leading organic growth and profitability figures, while at the same time increasing our already high satisfaction levels from the year ago period. We look forward to another strong year in 2008. Tony?
Tony L. Wormington - President: As Jack mentioned, we are very pleased with our support and service line, especially with the strong contribution in all the components of our recurring revenue which includes outsourcing data and item processing, in-house support and maintenance and our ESP services. Our support and services revenue increased 17% for the quarter and 18% for the year compared to prior year quarter and fiscal year. We are continuing to see solid increases in all components of our electronic funds transfer transaction processing businesses. Our ATM/debit card processing volumes continue to increase nicely compared to the prior year quarter, increasing at a rate of 35% and our bill payment transaction volumes increased at a nice pace of 49% in the same period. Compared to last sequential quarter, the number of financial institutions installed with our enterprise payment ASP solution for deposit processing increased 28% as well as the financial institution merchants increased by 53% in the same period. We are seeing solid increases in the volume of transactions being processed. Transactions increased by 43% in the same sequential period. As I mentioned in our last quarter call and again in this quarter, we experienced strong implementation revenue due to the implementation of mid-tier bank sold in previous quarters and the volume of convert merge activity in the banking market, due to the number of bank acquisitions, implementation of our imaging products as well as the large increase in the number of financial institutions and the respective merchant implementations of our enterprise payment solutions. Strong demand continues for many of our complementary products and services in both the banking and credit union markets supported by our core processing customers as well as our non-core customers through our ProfitStars brand. I'll now turn it over to Kevin for a further list of numbers.
Kevin D. Williams - Chief Financial Officer and Treasurer: Thanks Tony. As Jack previously mentioned, during the quarter just ended we have revenue growth of 12% to $181.3 million in total revenue for the quarter of which 11% of this is organic. This is compared to the consensus estimated revenues of $178.4 million in total revenue. Our license revenue did decreased by 5%, compared to the earlier quarter and is down 9% to the fiscal year. However, this quarter a year ago was the highest in the history of the Company, and it had several large mid-tier bank deals. We also feel our sell teams have some very good momentum going into fiscal 2008, under all three of our brands we go to market based on recent successes and based on sale pipeline. Our support and services had an increase in every component, as Tony mentioned, within the line of revenue. For the quarter and fiscal year implementation revenues increased 24% compared to the respective periods a year ago, as large portion of this was tied to specific license revenue in the quarter. The majority of results was also high [ph] the implementation of recurring revenue type items such as our outsourcing for data and item processing and convert mergers of banks that our customers have acquired. Our payment business was up 33% for the quarter and 38% year-to-date. Outlined date and item processing was up 18% for the quarter and 16% year-to-date, and our in-house support and other services were up 9% for the quarter and 11% for the year. Software revenue increased about 3% for the quarter and 7% for the year compared to year ago due to very strong sales in stores, such as our Check Imaging product and scanner sales related to our Remote Deposit Capture offerings. We also had a very strong quarter and a nice year for our JHA direct forms and supplies business. The products that are marketed under our ProfitStars brands both core and non-core customers track pretty much on plan for the quarter and the year and continue to increase the contributions to revenue and gross profits and our net income. We continue to maintain strong consolidated gross margins of 43% for the quarter and the year. Our Banking segment gross margins did slip a low to 43% this quarter from 45% a year ago, primarily due to the tough comparable license revenue year ago, because of some of the large banks we delivered in that quarter last year. However, our Credit Unit segment increased to 44% from 37% going the other way due to very strong license revenue in quarter in the credit union segment and number of very nice new core customers; as Jack motioned, one of those was Tech CU but several other nice core wins and several complimentary products. In our Bank segment our license margins, we saw a decrease from 97% to 89%, due to higher amount of third-party software sold during the quarter which is driven by another thing that Jack mentioned, our new BSA solution, our support service margins increased to 39% from 36% for the quarter, driven in part by the strong increase in our implementation revenue and our EFT revenue. Hardware margins decreased from 27% to 22% this quarter compared to year ago due to sales mix and lower rebate at the hardware that we are seeing the largest growth in do not drive rebate from those specific vendors. In our Credit Union segment our license margins were 98% for the quarter compared to 100% a year ago due to the increase in third-party products sale this year. Support and service margin increased slightly from the 29% to 30% in [indiscernible] and margins increased from 21% to 26% due to the sales mix. For the Bank segment and Credit Union segment margins both remain steady at 44% and 38% respectively for the year. We continue to celebrate some of the highest margins in the industry. Our total operating expenses increased 7% for the quarter and as a percentage of total revenue decreased from 19% to 18% for the quarter compared with prior year. For the year, operating expenses have increased 14%, the decrease from 20% to 19% total revenue. Our operating margin remained level at 25% for the quarter compared to year ago and remained overall 24% for the year compared to last year. Net result of all this was an increase in pretax income of 13% in the fourth quarter and 14% for the year compared to the prior year. As we have discussed on prior earnings calls this year, the R&D credit which has extended in December of 2006 to the period from January '06 through December 2007, have significant impact of approximately $3 million or $0.03 per share during our fiscal '07 due to the cash up that happened in our second fiscal quarter or the December quarter of '07. Because of this and other offsetting factors, our affective tax rate for the year decreased from 35.8% last year to 34.7% this year. Without this one-time benefit our earnings per share would have increased approximately 16% for the year compared to the actual 19% increase. However, the R&D credit is currently set to expire at the end on December 31 of 2007, which means that we have to assume that it will not be extended and therefore will have a negative impact on our effective tax rate going forward in fiscal 2008. Our EBITDA increased this year to $212.9 million from a $185.2 million last year or 15% increase. Depreciation and amortization of $51.0 million this year compared to $43.8 million last year included a net EBITDA calculation. Our EBITDA margins improve slightly to approximately 32% this year from just over 31% last year. At this time, we feel comfortable in providing guidance for fiscal 2008 of top-line revenue growth in the low double-digit growth similar to what we experienced in FY07 which serve as a slight margin expansion opportunity to operating margin line to obtain mid-teens growth in operating income. However, based on the R&D credit comparison in the prior year, where we had a significant impact of $0.03 per share increased bad debt, and this year it appears that we may loose the R&D benefit again at mid-year similar to fiscal 2006. It appears that we may offset any leverage to the operating income line due to the increase in effective tax rate. We project our gross and operating margins will remain basically level to the next fiscal year with some selective fiscal [ph] expansion, obviously there was some fluctuations from quarter-to-quarter due to sales mix, and it is hard to predict where the Congress will once again extend the R&D tax credit. This year will be similar to FY07 with the first quarter down sequentially from the fourth quarter of '07 and then we should have steady increases over the year quarter-over-quarter. However, it appears that the first quarter consensus estimates that are out there are little high at this time and it should probably should be adjusted down slightly. And also remember that the second quarter will probably our toughest comparison quarter this year because that is where the R&D credit benefit was last year of the $0.03. However, we should see similar increase in EBITDA in fiscal 2008 to those we saw in 2007. Briefly on our use of cash we purchased 1.1 million shares during the fourth quarter and 4.3 million shares repurchased during the fiscal year. In the last two fiscal years we have purchased 7.1 million shares for the treasury. During the year we used approximately $98.4 million to repurchase as compared to $41.8 million last year. Also during the year our cash used for acquisitions increased by $18.6 million to $39.3 million compared to the year ago and $20.7 million. Our CapEx was down compared to the prior year by $11.2 million to $34.2 million and capitalized software is up last year by about $4.7 million. For FY08, it appears that our CapEx will be somewhere around $40 million to $45 million which will be up from last year. This is due to some large projects we have underway. We are going to be building a new office facility at Springfield, Missouri which we purchased land in FY07, so it's part of the land we already in [ph] CapEx for FY07. And we have other significant projects underway in Charlotte and Birmingham to expand for our growth. Also capitalized software should be based to the same in FY08 as the nearest in that, as well as in [ph] FY07. Our backlog was $239.3 million was $68.1 million in-house and the $171.2 million outsourcing at June 30th which represents an 8% increase over that of year ago. And also remember that there is no transaction revenue represented by our EFP note processing, online bill pay or Remote Deposit Capture contracts reflected in the backlog due to the difficulty in conservatively estimating the transaction revenue especially in certain fast growing parts of the business. With that, I will now open the call up for questions. Roushelle, would you please queue up the volunteers for Q&A. Question And Answer
Operator: Thank you. [Operator Instructions]. And our first question will come from Dave Koning with Baird.
David Koning - Robert W. Baird & Co.: Yes. Good morning and nice results here.
Kevin D. Williams - Chief Financial Officer and Treasurer: Good morning, David.
David Koning - Robert W. Baird & Co.: I guess just a few questions. First of all, the support and service continues to be very strong in driving the growth profile here. Is that something that you expected to continue to drive growth in maybe kind of mid-teens or maybe just a little better then that again in fiscal '08?
Kevin D. Williams - Chief Financial Officer and Treasurer: Yes. Dave, I mean that has been our fastest growing part of our business for the last several years, every component on that continues to do extremely well, implementation continues to be strong not only for the additional license sales but also convert mortgages and then as we continue to see the shift to outsourcing, as we've mentioned on previous calls, eight out of ten new customers on the bank side are going for outsourcing. Today we are seeing a lot of our long-term existing in-house customers now going to outsourcing which also drives increase [ph] revenue. Our EST data transaction continues to grow nicely although at our bill pay and our most preferred deposit cash versus [ph] EST just continue to grow at similar levels and we see no slowing in our outsourcing and the in-house maintenance just continues to be pretty stable at 10% level. So, we would expect support and service to continue grow in the mid-teens next year.
David Koning - Robert W. Baird & Co.: Okay, great. And then I guess with the tax rate commentary, first of all, what do you expect the tax rate to be without the credit which is what it sounds like you are guiding to, and then what would the tax rate potentially be with the credit, and then finally EPS growth, it sounds like you are sort of implying kind of low-teens type EPS growth?
Kevin D. Williams - Chief Financial Officer and Treasurer: Yes. I mean, we think that the operating income is going to be somewhere in the mid-teens, similar to where it was this year. But the R&D credit, the challenge is, right now we have to assume here for half a year. So, under the current accounting rule, we have to assume a half a year basically adjust our effective tax-rate for the whole year. So it is going to be somewhere around 36.5% or just slightly higher than that. If they extend the credit then it should go down to about 36%. But if we didn't have the credit at all, it will be about 37.5%, David. And as far as EPS guidance, yes, if they don't renew the tax credit then we think that EPS growth to be somewhere in the low teens, because it will loose any leverage factor we get to the operating income line.
David Koning - Robert W. Baird & Co.: Great. And just one final question. Capitalized software expectations in fiscal '08?
Kevin D. Williams - Chief Financial Officer and Treasurer: Similar to what they were in FY07.
David Koning - Robert W. Baird & Co.: Great. Thank you.
Kevin D. Williams - Chief Financial Officer and Treasurer: You bet. Thanks Dave.
Operator: And next we'll move to Paul Bartolai with Credit Suisse.
Paul Bartolai - Credit Suisse: Thanks. Good morning guys.
Kevin D. Williams - Chief Financial Officer and Treasurer: Hey Paul. Good morning.
Paul Bartolai - Credit Suisse: So just to clarify in the tax-rate. So we should be assuming the 36.5% each quarter for the full year, unless we don't depend on the credit?
Kevin D. Williams - Chief Financial Officer and Treasurer: Yes. I would say for your models you just go ahead and stick 36.5% in there, because that's about what it is going to work out with a half a year of R&D, and obviously if they extend it before 12/31 then the tax potential going down slightly.
Paul Bartolai - Credit Suisse: Got you. Okay. And is there any allowance for share repurchases assumed in the guidance?
Kevin D. Williams - Chief Financial Officer and Treasurer: No.
Paul Bartolai - Credit Suisse: So, that would potentially provide some upside?
Kevin D. Williams - Chief Financial Officer and Treasurer: Yes.
Paul Bartolai - Credit Suisse: Okay. And then you guys finished the quarter with I think about $30 million in net cash was it? Or 10 million in net cash?
Kevin D. Williams - Chief Financial Officer and Treasurer: Yes roughly... that kind of... that's a timing, Paul, of our annual maintenance billing that went out in June which we collected, funded out of cash, similar to what we did in prior year. We had about $70 million in loss drawn down on our revolver at June 30th that we used for acquisition and the repurchase of accretive shares, and I would tell you that the debt was all paid off in the month of June and currently we are sitting on around $50 million in cash.
Paul Bartolai - Credit Suisse: Okay great. And last question I mean the Credit Union margin are obviously are very strong, I mean it seem like that was mostly, mix with the strong license sales, I was just curious any comments in general on the Credit Union margins and I guess also just the Credit Union market in general, I mean this a kind of the second quarter in a row where we have seen a little bit of improvement on the sale side, so just curious to get thoughts on the Credit Union market?
John F. Prim - Chief Executive Officer: Hi, Paul, it's Jack... the Credit Union market certainly first three quarter of the year last year was slower than we had expected, we did see some nice pick up in a number of nice closed deal than the fourth quarter, continued in the first quarter of this year with second Credit Union over $1 billion in assets and as you know our Credit Union business tends to be more license fee oriented than outsourcing. We just haven't seen the same adoption of outsourcing preference for core systems on the Credit Union side, yet that we've seen on the banking side. We do expect to see it move more in that direction but so far it's still predominately a preference rate in-house. So, in a quarter where you have a number of those product assignings, certainly can make the big difference in your license fee and as a result pretty good difference in the margins in the business units. But feel like that that business is moving certainly better than it did... was at this time a year ago and feel good about where we are.
Kevin D. Williams - Chief Financial Officer and Treasurer: And one other comment on the margins. I think we'll just continue to see... compared to the special in support and services overlying within the Credit Union segment as the ESP continues to grow in that side which obviously shared some pretty even margin and also as we continued to add new core customers in-house maintenance will also grow which will allow us to leverage some of our existing infrastructure on resources [ph].
Paul Bartolai - Credit Suisse: Okay. Thank you.
Operator: [Operator Instructions]. Next we'll move to Gil Luria with Wedbush Security.
Gil Luria - Wedbush Morgan Securities: Good morning.
Kevin D. Williams - Chief Financial Officer and Treasurer: Good morning, Gil.
Gil Luria - Wedbush Morgan Securities: First question is, can you confirm the guidance that you laid out in the Analyst Day in May that EBITDA margins are going to expand 50 to 100 basis points?
Kevin D. Williams - Chief Financial Officer and Treasurer: Gil,I think that there will be some expansion on EBITDA, it won't be a 100 basis points, I don't know, this last year we saw about 35 basis points during the year, and so I think we should see something comparable to that in FY08 as what we saw in FY07.
Gil Luria - Wedbush Morgan Securities: That's great. And can you tell us kind of looking back at 2007, what percent of sales was from ProfitStars.
Kevin D. Williams - Chief Financial Officer and Treasurer: Roughly 12% of total revenues was ProfitStars' product. Now understand that includes both inside and outside the base of the ProfitStars related products.
Gil Luria - Wedbush Morgan Securities: Sure.
Kevin D. Williams - Chief Financial Officer and Treasurer: Which is right on track with where we said we were going to be at the Analyst Day.
Gil Luria - Wedbush Morgan Securities: Right. And then last question, can you talk about the absolute numbers for Remote Deposit Capture, how many banks you have? How many merchants? What the trends and action were in the most recent period?
Kevin D. Williams - Chief Financial Officer and Treasurer: Gil, we got that; I'll take just a second to find it; Jack is looking it up right now.
Gil Luria - Wedbush Morgan Securities: Great. Then while we wait, there is some concern regarding the environment in the banking sector and whether the recent events and activities are going to slowdown banking spending going forward, could you see that bank technology spending is going to slowdown going forward, do you see any signs of that?
John F. Prim - Chief Executive Officer: Gil, it's Jack. I... we have not seen a slowdown in that regard at this point in time. These things come and go. I don't think that most of our banks are all that affected by the specific sub-prime issue that have driven lot of the issues. Interest rate changes, certainly, do have some impact. But again a lot of the products that we sell helped the bank, both Jack Henry core customers and non-core customers, improve their net interest margins and run their operations more effectively. In terms of what we are seeing in the area; of course, there is some sales activity. A lot of that is driven by new de novo bank startups. I think those will in all likelihood continue. The first you [ph] need to make a core system change, existing banks that need to make a change, first of all, they're not going to change unless they get a really good reason. If they got a good reason, it's likely going to still be there regardless of what interest rates these have. We don't anticipate that being a big factor and haven't seen any indications of it at this point. I think Tony was able to beat me to the drill on finding the number of banks with merchants on our enterprise payment offering, the Remote Deposit, I'll let Tony give those numbers now.
Tony L. Wormington - President: Yes, Gil, the number of banks installed at the end of fiscal year at June 30, were 432. And the number of banking merchants installed were 5,489.
Kevin D. Williams - Chief Financial Officer and Treasurer: And then we also had over little over 400 direct merchants that we sold to that did not go through a bank. And also, at June, this fiscal year, June 30, there were roughly a 100 banks into the backlog to be installed on that product.
John F. Prim - Chief Executive Officer: Right, and still see a pretty strong pipeline for banks that are still valuing.
Gil Luria - Wedbush Morgan Securities: Great. Thank you very much.
Operator: And we'll move on to Nick Fisken with Stephens Inc.
Nikolai Fisken - Stephens Increase: Good morning, everybody.
Kevin D. Williams - Chief Financial Officer and Treasurer: Hey Nick.
John F. Prim - Chief Executive Officer: Good morning.
Nikolai Fisken - Stephens Increase: On the revenue outlook for hardware, should stay at that $23 million, $24 million a quarter?
Kevin D. Williams - Chief Financial Officer and Treasurer: Nick, we have been predicting for several years that hardware revenue is going to get down. One of the... the two main drivers in that right now is scanners for Remote Deposit Capture and stores for all the Check Image solutions that we're selling. There will continue to be some nice hardware upgrades. We're seeing right now iDEN just came out with a new upgrade to the iSeries, so it will be some of that. And as we continue to sell in-house core deals on the Credit Union side, there will continue to be some nice sales of pSeries, so. But hardware is going to bounce around a little bit and it's hard for me to predict that it is going to maintain at that level, but I would guess for the year, it may stay flat to '07 because of some of the things that I just mentioned.
John F. Prim - Chief Executive Officer: I think, it would, the predictions of hardware declining were certainly have been accurate if it was not for the Remote Deposit phenomenon that we've seen here in last 18 months which kind of started suddenly and moved at a very rapid rate. We think there is probably still another 12 to 18 months minimum rapid growth in that area. But again as that starts to vain; I think we would, certainly, predict the decline in hardware revenues that we've been expecting.
Nikolai Fisken - Stephens Increase: And as you guys see this shift to outsourced; should the license revenue be basically flat year-on-year?
Kevin D. Williams - Chief Financial Officer and Treasurer: You know that, we continue to see growth in the pipeline at Credit Union side, with the majority of that is in-house deal. We've got a lot of account management solutions on the banking side with our Bank Secrecy Act product and other things. The ProfitStars' group is doing extremely well, and lot of that is license-driven outside the base. So, if you want to model license to be flat FY08, going forward '07, that's probably reasonable.
Nikolai Fisken - Stephens Increase: And then on the first quarter earnings guidance, you just gave, you said some of the... the street is too high at $0.27. How much --
Kevin D. Williams - Chief Financial Officer and Treasurer: They are probably... it's probably not too much high, Nick; probably a $0.01 or so high.
Nikolai Fisken - Stephens Increase: Okay. Then the only other question I got is on the M&A pipeline given the market turbulence, have you guys seen properties that have been priced... has pricing gotten better? Do you guys seeing some bigger deals where you are getting included now?
John F. Prim - Chief Executive Officer: We haven't seen a lot of change there, Nick, we expect that that we will see some change. We have been including in a lot of deals, we haven't doing well in the pay [ph] what some of the... particularly the private equity firms have been willing to pay, although there has certainly been some strategic buys off late that were pretty aggressive as well. But I don't think as a result of the changes in the debt marketplace that we've seen a lot of change in deals that we're seeing at this point. But I do think that it will make a difference on deal here for the next six months or so that we do get engaged in, that I believe there will be more reasonable pricing levels likely to be associated with those deals. Now, is the debt environment a temporary... we are looking at a six month kind of window there or something longer term. Don't really have a good feel for that. But I think that, again, the next six months or so, some of the pricing is likely to come down on some of these deals.
Nikolai Fisken - Stephens Increase: How about the volume of deals?
John F. Prim - Chief Executive Officer: I would say it's roughly --
Kevin D. Williams - Chief Financial Officer and Treasurer: It's roughly the same. I haven't seen a big change, Nick, there was so much activity there in a 12 to 18 month widow, that a lot of the good properties were gone, there is still a fairly steady stream, a bit... a lot of the deals we're seeing now is just... you just can't just scratch your head and say, this road only makes sense for us in our long term strategy.
Nikolai Fisken - Stephens Increase: Great. Thank you so much, and congrats on the another good quarter.
Kevin D. Williams - Chief Financial Officer and Treasurer: Thanks Nick.
Operator: And that will conclude the question-and-answer session. I'll turn... I'm sorry we do have one more question from Craig Richard with A. G. Edwards.
Craig A. Richard - A. G. Edwards & Sons, Inc.: Good morning, guys.
Kevin D. Williams - Chief Financial Officer and Treasurer: Hi Craig.
Craig A. Richard - A. G. Edwards & Sons, Inc.: Yes. Could you give us a breakdown of license revenue between the Bank and Credit Union segment in the quarter first --
Kevin D. Williams - Chief Financial Officer and Treasurer: Sure, the quarter banking license revenue was $17.8 million and Credit Union was $6.5 million.
Craig A. Richard - A. G. Edwards & Sons, Inc.: Okay. And the two large competitive takeaways that you got from price over in the Credit Union space. Were those reflected in last quarter's license revenue number?
John F. Prim - Chief Executive Officer: You are probably referring, Craig, to the $2 billion credit use that I mentioned. Tech CU was signed in the fourth quarter of deferred... I don't know how much of that may have converted to the actual revenue in the quarter. Western Credit Union was not signed until July so it would not have been reflected in Q4.
Kevin D. Williams - Chief Financial Officer and Treasurer: Right. So Western is not in the backlog at June 30th. Tech CU there was some of the license revenues that would have been recognized as the license would have been delivered but there is still more license and the majority of implementation, specifically in backlog at June 30th.
Craig A. Richard - A. G. Edwards & Sons, Inc.: Okay. Great. And then regarding your technology can you provide a approximate revenue run rate for '08?
Kevin D. Williams - Chief Financial Officer and Treasurer: Roughly I think it's somewhere around $6 million gross revenue.
Craig A. Richard - A. G. Edwards & Sons, Inc.: That will come through primarily support and services?
Kevin D. Williams - Chief Financial Officer and Treasurer: It will all come to support and services. That's truly a monitoring service, however that service will marry up well with our existing Matrix product line which is in installation, in networks and LANs and WANs through banks and then will tie the security drive on top of those networks, as we install. So, it's a very good cross-sell opportunity for us. But it will all be in support and services.
Craig A. Richard - A. G. Edwards & Sons, Inc.: Okay. And then lastly can you just repeat CapEx expectations for '08 and basically the majority increase coming from the Springfield campus build-out at the beginning of that?
Kevin D. Williams - Chief Financial Officer and Treasurer: CapEx is going to be roughly just somewhere between $40 million and $45 million depending on when some of these project get kicked off, we are still trying to finalize plans for the facilities we are building in Springfield, Missouri. But those should be... grants should be broken on those. This fall we are leasing a new facility in Charlotte which should allow us for growth for the next five years. And those... that the lease facility, because a lot of leasehold improvement is building into that facility and in the same way with Birmingham which... that should start sometime later this fall also.
Craig A. Richard - A. G. Edwards & Sons, Inc.: Hey, great. Nice job.
Kevin D. Williams - Chief Financial Officer and Treasurer: Thanks, Craig.
Operator: And that will conclude the question-and-answer session. I will turn the call back over to the speakers for any additional or closing remarks.
Kevin D. Williams - Chief Financial Officer and Treasurer: Thank you, Roushelle. Again we want to thank you for joining us today to view our fourth quarter and fiscal year end 2007 results. We are very pleased with the overall financial performance during the quarter and year and remain very confident that we are well positioned and that we have the right product and services for both the Bank and Credit Union markets and other financial services markets. We also believe we have the proper resources in both people and technology for these continued future opportunities. We continue to expand and improve our product and services and are committed to build on all of our competitive strength. Our executive, managers and all the member of our team continue to focus to do what's right for our customers and you, our shareholder. Again thank you very much for joining us this morning and with that, Roushelle, would you please provide the replay number.
Operator: Thank you for joining today's conference call. If you would like to listen to a replay of this call it will be available from 11:45 AM Eastern Time through, today, through Midnight Wednesday, August 29. The dial-in number in the US is 888-203-1112; internationally is 719-457-0820 and the confirmation code is 4295715. Those numbers again in the US is 888-203-1112; internationally 719-457-0820 and the confirmation code is 4295715. Thank you and you may disconnect at this time.